Operator:
Jennifer Beatty:
John Eaves:
Paul Lang:
John Drexler:
Operator:
Brandon Blossman - Tudor Pickering Holt & Company:
Paul Lang:
John Eaves:
Brandon Blossman - Tudor Pickering Holt & Company:
Paul Lang:
Operator:
Mitesh Thakkar – FBR:
John Eaves:
Mitesh Thakkar – FBR:
John Eaves:
Mitesh Thakkar - FBR:
John Eaves:
Paul Lang:
Mitesh Thakkar - FBR:
Operator:
Shneur Gershuni - UBS:
John Eaves:
Shneur Gershuni - UBS:
John Drexler:
Shneur Gershuni - UBS:
John Eaves:
Shneur Gershuni - UBS:
Paul Lang:
John Eaves:
Operator:
Brian Yu - Citi:
John Eaves:
Brian Yu - Citi:
Paul Lang:
Brian Yu - Citi:
John Drexler:
John Eaves:
Brian Yu - Citi:
John Drexler:
Operator:
Unidentified Analyst:
John Eaves:
Paul Lang:
John Eaves:
Unidentified Analyst:
John Eaves:
Unidentified Analyst:
Operator:
Jim Rollyson - Raymond James:
John Eaves:
Jim Rollyson - Raymond James:
John Eaves:
Jim Rollyson - Raymond James:
John Eaves:
Jim Rollyson - Raymond James:
Paul Lang:
Operator:
Lucas Pipes - Brean Capital:
John Eaves:
Lucas Pipes - Brean Capital:
John Eaves:
Operator:
John Bridges – JPMorgan:
Paul Lang:
John Bridges - JPMorgan:
Paul Lang:
John Bridges - JPMorgan:
Paul Lang:
Operator:
Kuni Chen - CRT Capital Group:
John Eaves:
Kuni Chen - CRT Capital Group:
John Eaves:
Kuni Chen - CRT Capital Group:
John Eaves:
Operator:
David Gagliano - Barclays:
John Eaves:
David Gagliano - Barclays:
John Eaves:
Operator:
David Martin - Deutsche Bank:
John Eaves:
Paul Lang:
David Martin - Deutsche Bank:
John Drexler:
Operator:
Andre Benjamin - Goldman Sachs:
John Drexler:
Operator:
Chris Haberlin - Davenport & Company:
John Eaves:
Chris Haberlin - Davenport & Company:
John Eaves:
Operator:
Meredith Bandy - BMO Capital Markets:
John Eaves:
Operator:
Justine Fisher - Goldman Sachs:
John Eaves:
Paul Lang:
Justine Fisher - Goldman Sachs:
Paul Lang:
John Eaves:
Operator:
Evan Kurtz - Morgan Stanley:
John Eaves:
Paul Lang:
Evan Kurtz - Morgan Stanley:
Paul Lang:
Evan Kurtz - Morgan Stanley:
John Eaves:
Operator:
Lance Ettus - Tuohy Brothers:
John Eaves:
Operator:
Dave Katz – JPMorgan:
Paul Lang:
Dave Katz - JPMorgan:
John Eaves:
Operator:
John Eaves:
Operator: